Operator: Good day, and welcome to the IHS Holding Limited First Quarter 2025 Earnings Results Call for 3-month period ended March 31, 2025. Please note that today's conference is being webcast and recorded. [Operator Instructions] At this time, I'd like to turn the conference over to Robert Berg. Please go ahead, sir.
Robert Berg: Thank you, operator. Thanks, everyone, for joining the call today. I'm Robert Berg, Head of Investor Relations here at IHS. With me today are Sam Darwish, our Chairman and CEO; and Steve Howden, our CFO. This morning, we filed our unaudited condensed consolidated interim financial statements for the 3-month period ended March 31, 2025, with the SEC, which can also be found on the Investor Relations section of our website, and issued a related earnings release, presentation and supplemental deck. These are the consolidated results of IHS Holding Limited, which is listed on the New York Stock Exchange under the ticker symbol IHS, and which comprises the entirety of the Group's operations. Before we discuss the results, I would like to draw your attention to the disclaimer set out at the beginning of the presentation on Slide 2, which should be read in full, along with the cautionary statement regarding forward-looking statements set out in our earnings release and 6-K filed as well today. In particular, the information to be discussed may contain forward-looking statements, which, by their nature, involve known and unknown risks, uncertainties and other important factors, some of which are beyond our control that are difficult to predict and other factors which may cause actual results, performance or achievements or industry results to be materially different from any future results, performance or achievements or industry results expressed or implied by such forward-looking statements, including those discussed in the Risk Factors section of our Form 20-F filed with the Securities and Exchange Commission and our other filings with the SEC. We'll also refer to non-IFRS measures, including adjusted EBITDA that we view as important in assessing the performance of our business, ALFCF that we view as important in assessing the liquidity of our business and consolidated net leverage ratio that we view as important in managing the capital resources of our business. A reconciliation of non-IFRS metrics to the nearest IFRS metrics can be found in our earnings presentation, which is available on the Investor Relations section of our website. And with that, I'd like to turn the call over to Sam Darwish, our Chairman and CEO.
Sam Darwish: Thanks, Robert, and welcome, everyone, to our first quarter 2025 earnings results call. We're reporting a strong start to 2025 with solid growth across our key metrics of revenue, adjusted EBITDA and ALFCF, and a reduction in total CapEx, all in line with our expectations. As a result, we are pleased to reiterate all elements of our full year 2025 outlook. Our positive quarter results and momentum reflects: one, the continuing macroeconomic stability in our countries; two, the continued strong secular trends that we are seeing across our business; and three, strong operational focus as we continue to benefit from the significant commercial and financial progress that we made in 2024 and continued into 2025. Looking at our revenue, we saw 26% organic growth driven by almost 8% constant currency growth as we saw increased revenue from colocation, lease amendments, new sites, and CPI escalators. First quarter revenues also saw a significant benefit from our Forex resets and power indexation, which play a vital role in helping to offset currency devaluation or movement in power prices. Our strong organic growth more than offset the impact of the Kuwait disposal, which we completed in December 2024 and some currency depreciation. Turning to profitability. Our adjusted EBITDA reached $253 million in the quarter with a margin of 57.5%, up 1,320 basis points compared to this time last year. ALSCF was $150 million during first quarter 2025, an increase of almost 250% year-over-year, driven by improved profitability and the rephasing of interest payments. Total CapEx was $44 million in the quarter, down 17.8% year-over-year, given our narrowed focus on capital allocation. We continue to assess Group-wide costs, CapEx structures and new ways to operate our networks, including how we can introduce more technology, especially artificial intelligence into our ways of working to help us realize future efficiencies. As we discussed in detail at our recent full year 2024 results, and as you can see from our first quarter results in 2025, we have made significant progress across a number of our strategic initiatives. And our focus on financial discipline and capital allocation is delivering sustained improvements in our profitability and cash flow generation. These improvements supplemented by select asset disposals has resulted in a further reduction in our consolidated net leverage ratio to 3.4x, down from 3.7x at the end of 2024 and a strong liquidity position with over $900 million of available liquidity at the end of March. Following the strong start to the year, we are continuing to implement our strategy to further improve profitability and cash flow generation while strengthening our balance sheet with the goal of maximizing returns for all our stakeholders. In this regard, we are pleased to today announce further progress in our strategic priority related to asset disposals as we have agreed to sell 100% of IHS Rwanda for an enterprise value of $274.5 million, implying a transaction multiple of 8.3x adjusted EBITDA after leases. The agreement to sell our Rwanda operations was carefully considered as part of our strategic initiatives targeted at shareholder value creation options. The 8.3x multiple achieved is materially higher than the IHS Group multiple, highlighting the value contained within our wider portfolio. We have enjoyed more than 10 years of commercial success in Rwanda and are deeply appreciative to our colleagues, customers and the government of Rwanda for helping make IHS Rwanda the success it is today. This latest disposal in Rwanda comes after we disposed Kuwait and Peru in 2024 as well as exited the Egyptian market. Not only are we raising the capital we previously targeted, we are also streamlining our markets of focus that remain within the IHS Group. Please note that the quarter-on-quarter 0.3x reduction in leverage from 3.7 multiples to 3.4 multiples does not reflect the proceeds from the Rwanda disposal. We will continue to assess if there are additional value-creative disposal opportunities. Looking ahead, we remain excited by the strong growth opportunities across our footprint, underpinned by continued 5G deployment across our markets. Our confidence in the outlook for the remainder of the year is further supported by the improving backdrop within our 2 largest markets, Nigeria and Brazil. And with that, I will turn the call over to Steve.
Steve Howden: Thanks, Sam, and hello, everyone. Let's take a look at Slide 8, where we show our 1Q '25 performance. Our results were in line with expectations and came with a backdrop of a more stable macroeconomic environment in Nigeria. As we look at the results, please note, firstly, the year-over-year comparisons are impacted by the late January 2024 devaluation in Naira, which dragged down the 1Q '24 comparator. Secondly, the December 2024 Kuwait disposal, meaning no MENA contribution now in 2025. And thirdly, the impact of the renewed and extended contracts with MTN Nigeria signed in August of last year, including associated site churn, continue to impact the comparisons. In terms of the results themselves, both towers and tenants were down approximately 3% and 1%, respectively, year-over-year, while lease amendments increased by high single-digit percentages. The decline in both towers and tenants is primarily a reflection of the divestitures of towers in Kuwait and Peru. And excluding the impact of these disposals, we added 1,375 net tenants year-on-year. We also saw the initial impact of the 1,050 sites that MTN Nigeria will vacate this year. As of the end of Q1, 183 tenants, including 347 lease amendments, have churned with an approximate $1.6 million reduction in revenue year-on-year as a result. On a reported basis, in the first quarter, revenue increased by approximately 5% year-on-year with organic growth of almost 26% more than offsetting the 14% depreciation of the Naira against the dollar and the Kuwait disposal. As a reminder, Naira average FX rate was NGN 1,316 to the dollar in Q1 of last year and NGN 1,527 to the dollar in Q1 of this year. We should caution that given how the Naira has moved in 4Q '24, 1Q '25 and now into 2Q '25, we reset our Nigeria contracts at the beginning of January 2025 at a higher rate than the 1Q '25 average rate turned out to be as the Naira was appreciating in the first quarter. This results in a quarter of FX tailwind in the first quarter. Adjusted EBITDA was up more than 36% year-on-year, while adjusted EBITDA margin was up 1,320 basis points, again, comparing to the low point of 1Q '24 as well as reflecting our continued cost control and the resilience of our financial model through contract resets. Meanwhile, ALFCF increased by approximately 248%, driven by improved profitability, a low quarter of maintenance CapEx and the rephasing of interest payments between quarters following the November bond refinancing, where our bond payments will now reflect in the second and fourth quarters of each year. To put some numbers to this, if we look solely at the phasing of interest on our various Group-level dollar bonds, they carry interest of $11 million in each of Q1 and Q3 versus $70 million in each of Q2 and Q4. Our level of CapEx investment decreased by 18% in the quarter, largely driven by the pullback in CapEx as we continue to focus on improving cash generation. And finally, our consolidated net leverage ratio decreased to 3.4x having peaked at 3.9x in the second and third quarter of 2024, including a reduction of 0.3x from the fourth quarter to the end of this quarter, well within our target of 3x to 4x. Slide 9 shows the components of our 1Q '25 revenue on a consolidated basis, where you can see how the business delivered a quarter of growth despite the impact of the Naira devaluation and the Kuwait disposal. From a constant currency perspective, revenue grew approximately 8%, driven primarily by CPI escalations, new colocations and new lease amendments, positive signs of the fundamental underlying tenancy growth continuing across our key markets. The strong organic revenue growth of 26% was supplemented by the benefits of our FX resets and power protection mechanisms. The right side again shows the organic growth rates of each of our segments for the quarter, where our Nigeria segment grew approximately 46%, including a large benefit from FX resets and despite the initial impact of the financial terms in the renewed and extended contracts with MTN Nigeria. On Slide 10, you can see our consolidated revenue, adjusted EBITDA and adjusted EBITDA margins for 1Q '25. Specifically, in 1Q '25, our adjusted EBITDA was $253 million and adjusted EBITDA margin was 57.5%, continuing the trend of higher margins post the 1Q '24 dip from that Naira devaluation. On to Slide 11, we show adjusted levered free cash flow. In the first quarter of '25, we generated ALFCF of $150 million, a 248% increase year-over-year, in line with our expectations and primarily due to the increase in adjusted EBITDA, low maintenance CapEx in the quarter and a decrease in net interest paid driven by the rephasing of interest payments. As I mentioned just earlier, the bond payments will now reflect in the second and fourth quarter of the year. In addition, we benefited from the decrease in the withholding tax rates in Nigeria from 10% to 2%. Our ALFCF cash conversion rate was 59.3%. On to CapEx. And in the first quarter, CapEx of $44 million decreased 18% year-on-year, continuing last year's trend. The decrease was driven by lower CapEx on fiber and augmentation CapEx and a decline in new site CapEx, although we still retain a healthy level of new site build in Brazil. On the segment review on Slide 12, I'll start as usual with Nigeria. But following the 6 rate hikes we saw in 2024, the Monetary Policy Committee has continued to keep interest rates steady with the NPR at 27.5%. Nigeria's FX market stabilized in the first quarter of '25 and the Naira averaged NGN 1,527 to the dollar in the quarter, albeit an increase year-over-year, but down from the NGN 1,629 as of the fourth quarter 2024. USD liquidity remains good. We've seen a small decrease in the FX reserves to $38.3 billion at the end of March from $40.9 billion at the end of December last year. And inflation has remained stable at 24.2% as of March. The government continues to make macroeconomic progress and investor confidence seems to be returning. For IHS in Nigeria, 1Q '25 revenue of $271 million increased 19% year-on-year on a reported basis, driven primarily by FX resets from the low of 1Q '24 to now, power indexation, escalations, and tenancy growth. Offsetting factors include the impact of the financial terms in the renewed MTN Nigeria MLAs, including the approximate $1.6 million reduction in revenue year-on-year from the associated reduction in tenancies and lease amendments that I mentioned earlier. Separately, lease amendments continue to be an important driver of growth, increasing 1.4% year-on-year as our customers add additional equipment to our sites, notwithstanding the MTN Nigeria churn. 1Q '25 segment adjusted EBITDA in Nigeria was $179 million, a 74.1% increase from a year ago, with the first quarter of last year negatively impacted by the Naira devaluation in that period. Segment adjusted EBITDA margin was up 2,080 basis points to 66%, given the increase in revenue we've already discussed and along with the reduction in cost of sales and admin expenses, primarily due to the devaluation of the Naira. In our Sub-Saharan African segment, revenue decreased 8.1% and segment adjusted EBITDA increased 2.9% year-on-year. This performance was primarily due to lower revenues, but also lower associated costs being recognized in South Africa following the unwind of the power managed services agreement with MTN South Africa that took effect in the second quarter of 2024. These revenue changes have no impact on segment adjusted EBITDA. The performance has further benefited from new colocations, lower power generation costs, security services and maintenance costs. Segment adjusted EBITDA margin increased 640 basis points as a result to 59.4%. In our Latam segment, towers and tenants grew by 6.7% and 8.2%, respectively, versus the first quarter of last year. Revenue decreased by 0.5% because of negative movements in FX rates, but was broadly offset by continued growth in tenants, lease amendments and new sites. In Brazil, our second largest market with 8,400 towers, macro conditions were more benign this quarter as the Brazilian real was largely flat against the dollar, and there were moderate increases in both interest rates and inflation. Moving to Latam profitability, while segment adjusted EBITDA increased by 5%, segment adjusted EBITDA margin increased 420 basis points versus the first quarter of 2024, which mostly reflects the reduction in costs more than offsetting the decrease in revenue. As we mentioned last quarter, given our Kuwait disposal and our decision not to commence operations in Egypt, MENA is no longer a reportable segment. Moving to Slide 14, we look at our capital structure and related items. At March 31, 2025, we had approximately $4 billion of external debt and IFRS 16 lease liabilities. Of the $4 billion, approximately $2.2 billion represents our bond financings. Most recently, post the end of the first quarter in April this year, the outstanding balance of approximately $86 million equivalent on our Nigeria term loan was fully prepaid using local Naira cash. This Naira term loan carried a high interest rate and is in line with our focus to reduce debt, particularly high interest debt. Cash and cash equivalents was $629 million as of March 31, bringing our total liquidity to $929 million. In terms of where that cash is held, approximately 29% was held in Naira at our Nigeria business. But as I just explained, some of that local Naira cash was used to pay down debt post quarter end. Consequently, while our consolidated net debt was relatively flat at $3.3 billion quarter-over-quarter, our consolidated net leverage ratio of 3.4x at the end of Q1 was down 0.3x versus the end of December 2024. And as Sam previously highlighted, the 3.4x leverage does not reflect any proceeds from the Rwanda disposal. We expect leverage to remain within the bottom half of our target 3x to 4x net leverage ratio in 2025, supplemented by the cash proceeds from the Rwanda disposal once it closes and any other further disposals. Moving to Slide 15. Given that the first quarter has been in line with our expectations, we're maintaining our 2025 guidance. As a reminder, our guidance shows further growth in 2025 versus 2024 in our revenues when excluding the impact of the Kuwait disposal and growth in adjusted EBITDA and ALFCF. A couple of points I'd like to further highlight. Firstly, we had a strong first quarter of ALFCF with $150 million generated in the quarter. This phasing of ALFCF through the year was expected and known to us when we set our guidance at the Q4 results. And as I mentioned earlier, the majority of our interest is paid in 2Q and 4Q. And given this and the timing of maintenance CapEx plans, we continue to expect to step down in ALFCF in the second quarter, leaving us on track for our 2025 outlook of $350 million to $370 million. And secondly, we continue to assume a full year of contribution from Rwanda in our guidance. However, we expect to close the disposal of our Rwandan operations announced today during the second half of 2025. And -- should we need to update our outlook for a lower contribution during this year, we will do so following the completion of the transaction. This now brings us to the end of our formal presentation. We thank you for your time today. And operator, please now open the line for questions.
Operator: [Operator Instructions] Our first question for today comes from Jim Schneider of Goldman Sachs.
James Schneider: I just wanted to sort of confirm that the Q1 performance, which is quite strong relative to the Street estimates, was indeed sort of in line or roughly in line with your expectations. Maybe anything that you think was a little bit better than you expected in the quarter? I think maybe some of the Sub-Saharan Africa results were a little bit below expectations, but otherwise, quite strong across the board. And maybe just kind of as you think about the outlook for 2025, significant beat relative to the Street. How would you sort of encourage us to think about any risk to the remainder of the year? Is there anything in the underlying business that gives you pause? Or do you think about the 2025 guidance reiteration as more conservatism?
Steve Howden: Jim, it's Steve. Thanks for the question. So yes, you're right. We had a good beat in Q1. You'll notice from the comments that we made a few moments ago that it was in line with our expectations. So to answer the very first part of your question, yes, the quarter was plus/minus as we expected. It was a good strong start to the year. I think a few things just to pull out from what I said a few moments ago in terms of some of the reasons for that. So from a revenue perspective, we carried a bit of a tailwind from an FX point of view, particularly in Nigeria in Q1, given how the Naira was moving as we exited Q4, it appreciated into Q1, which meant that our contracts reset at a slightly higher rate than the average actually turned out to be in the quarter. So that then normalizes when we get into Q2. So there's a bit of a positivity that we're carrying in Q1 from that. What else would I say? In terms of the 1,050 tenancies that are churning from MTN Nigeria, that was a little bit slower than we had originally planned, still on track, but that continues to be a little bit of a tailwind in Q1. In terms of carrier performance, which is obviously kind of an indicator on the health of the industry, we're continuing to see strong fundamentals from our key customers, particularly if you look at someone like Nigeria, where the 50% subscriber increase in tariffs that they were allowed to pass in Q1, that's now starting to take effect. And we've seen in recent weeks, a number of our big customers there report really positive Q1s and also significantly positive outlook for 2025. So yes, all-in-all, in good shape. Probably the only other thing just to reiterate, again, I mentioned it a few moments ago, in terms of ALFCF on the -- a big chunk of that has to do with interest payment timing. We pay semiannual coupons on our bonds. They've rephased this year. We pay much more interest in Q2 and Q4 than in Q1 and Q3. So that's also the reason for that. But again, exactly in line with the full year and as expectedÃ¢â¬Â¦ Yes, sorry, Jim, I was going to say second bucket of your question in terms of the rest of 2025, what do we think about in terms of any potential risks? And therefore, are we being conservative? Look, I think it's not long since we set guidance. And we're in that period of the year where we're obviously monitoring a lot of factors to see how the year pans out. No doubt, we're seeing strength in a variety of elements of our business. The macro in our markets is performing better than we had expected. It's probably a bit early to adjust for that, but that continues to be a positive. But as we know, and I'll answer your question on risks we see, we continue to live in an uncertain world globally from a macroeconomic perspective, and that does impact all corporates. And we just have to keep watching that kind of broader macroeconomic environment and how that filters into our country. So we're in a reasonably fortunate position in our business that we don't have any sort of direct linkage to any kind of trade or tariff situations that we've seen in the last 6 weeks or so. But obviously, the global macro can be impacted. So that's probably the thing that we're looking out for most. Otherwise, the business is in pretty good shape.
James Schneider: That's helpful color. I just wanted to follow up regarding the asset sale program, congratulations on the agreement for Rwanda. But maybe can you give us a sense, I think, Sam, in your commentary, I think the language changed a little bit in terms of evaluating if other asset sales are warranted or would be attractive. So should I imply from that -- infer from that, that you've sort of done the initial tranche of what you initially had intended to do and then anything else from here would be opportunistic? Or are you still aggressively pursuing other options? Thank you.
Sam Darwish: Hi Jim, look, we have made material gains towards our strategic goals as established last year. And we continue to kind of like take actions, including organic actions. And I think they're beginning to show in the results. Now we still believe, however, that the share price is undervalued. So we will definitely continue to consider other options, alternatives, strategic potentially even disposals, among other things, to unlock and return shareholder value. So that's a continuous program.
Steve Howden: I think just to add to that, Jim, we're still focused on the same pillars, right? So profitability and cash flow generation within the business. The asset disposals, yes, we've kind of done what we initially set out to do, but that doesn't mean we won't keep looking. And we've streamlined the Group, right? So we're in a more focused position now as a company. And what it all kind of leads towards -- leads towards is revisiting our capital allocation probably towards the end of this year into early next year in terms of what's next for us. We're continuing to make progress around the balance sheet, which is exactly what we said we wanted to do. So we're sort of heading into the direction we wanted to be in, a bit more execution over the next quarter or 2 or 3. And we're in -- as I said, we're in pretty good shape.
Operator: Our next question comes from Michael Rollins of Citi. Your line is now open. Please go ahead.
Michael Rollins: Thanks for taking the questions and good morning. So on the sale of Rwanda, can you give us a sense of what the annual organic growth is in that portfolio relative to how you perceive growth in the rest of your portfolio, just to kind of appreciate the characteristics of that asset versus what's left within the company? And then related to that, if we can extrapolate that a little bit in terms of the algorithm. So as you look out on a multiyear basis, how would you describe the annual financial growth algorithm? So what organic revenue growth should be on average over a multiyear period, how that translates to EBITDA and then to the ALFCF per share growth rate? Thank you so much.
Steve Howden: Hi Mike, so in terms of Rwanda, obviously, we're bound a little bit by what we have and haven't disclosed. But to give you an idea, that business is about a 2.05 lease-up rate. So just over 2 unique tenants on each tower. And it's a market with really sort of 2 to 3 key carriers, right? So it's reached a point where a lot of the growth has happened. There is certainly still growth ahead of it in that market. Rwanda is a pretty forward-thinking economy. They're looking a lot at digitization and they're looking a lot of 4G and then 5G rollout. So there is still some room to grow there. But it came against the backdrop of us wanting to realize our own strategic initiatives. We feel like we've got a pretty good deal done there to a good partner in Paradigm who know the African continent very well. So it's really a meeting of the minds in terms of achieving all the things we wanted to do. How does that compare to other segments in SSA? Look, I think we've said previously that if we walk through the SSA segment, you have countries like Rwanda, Zambia, Cameron, and CÃÂ´te d'Ivoire. They're all more growth-oriented businesses where I would expect to see kind of double-digit growth year-on-year. South Africa is a bit slower than that. We've always said that, that it's probably more of a single-digit grower each year. So that's kind of the outlook in terms of that particular segment. More broadly around the Group, look, we continue to reiterate what we said before. We want to be growing revenue at double digits certainly organically, preferably in dollar terms. That is obviously not implicit within our guidance for this year given the variety of things that the company is moving through, including some of the churn and we've disposed of businesses, which means the base is smaller this year than it was last year. But when you look through our guidance, we've got an implied 12% organic growth at a revenue level, we have a higher implied growth at EBITDA level, and we have an even higher implied growth at ALFCF level. And that's how we kind of want to be looking at this business organically. Yes, we want to grow revenue, but we want to grow EBITDA quicker than we're growing revenue. We want to grow ALFCF quicker than we're growing EBITDA such that we're a growth, profitable, cash-generative infrastructure play. Continue to target 67% plus EBITDA margin. That will take a number of years, but we continue to move forward with that. ALFCF continue to target to get our business itself into the mid-40s. And then at some point, hopefully, we break the 50% margin level. So those are kind of the ways we think about the business as a whole.
Michael Rollins: And as you think about returns of capital to shareholders, what's your sense on timing for an update there? And how are you thinking about buybacks versus dividends versus just reducing your debt levels much further and getting that down as much as you can over the next few years?
Steve Howden: Yes. So maybe I'll take those in reverse order. So we've been very public and very consistent with the first part of our initiatives, which was to increase profitability, increase cash flow generation, raise some disposal proceeds from asset sales, and pay down some debt, okay? And we're obviously still executing against that. We've announced today the Rwanda agreement, and that's got to move through the process to completion and obviously, realization of those proceeds. So debt paydown continues to be a key focus for us. One of the things which is within the disclosure today, didn't happen in the quarter, happened just after the quarter. We paid down approximately $86 million of the term loan that we had in Nigeria. That was our highest interest-bearing facility in the Group. So we paid that down post quarter end just with excess local cash. So all of the balance sheet initiatives continue at a pace, and we feel pretty good about those leverage should be down towards the end of the year. And then as it goes to wider capital allocation and maybe taking a different route, you mentioned things like share buybacks, like dividends, absolutely on our radar, and that's kind of a topic that we're looking at as we get a little bit further into the execution of all the initiatives. So maybe a quarter or 2's time, we'll be assessing that in the background and let's see towards the end of this year, early next year.
Operator: Our next question comes from Gustavo Campos of Jefferies. Your line is now open. Please go ahead.
Gustavo Finatti Campos: Thank you very much and congratulations on the results. Yes, I had a few questions here. First of all, do you still expect to see any growth -- EBITDA growth from Nigeria that would be related to the catch-up effect of your FX resets? Or do you think that the recovery growth driver is over now? And then that growth would be driven by -- starting to be more driven by other factors like organically? That's my first question.
Steve Howden: I mean the FX resets, Gustavo operate on a quarterly basis, right? So it very much depends on what's happening with the currency movements against the dollar. So every quarter, we look at what the Naira is to dollar and we update our currency resets according to that. So I'd like to say that the Naira was going to be stable going forward. It has been really for this year within a range. It's moved around between sort of NGN 1,525 at the lows in Q1. It's been NGN 1,600 levels for a little while now. So hopefully, it's more stable. But yes, the FX resets are really just a factor of what's happening with the currency.
Gustavo Finatti Campos: Yes. That was very clear. But just to clarify, I was thinking about the catch-up effect from previous quarters, assuming the Naira is stable at around NGN 1,600 at around current levels, do you see that there's still like a catch-up effect from the last 12 months given the volatility that we've seen in the Naira.
Steve Howden: No, not in the last 12 months because all of our contracts in Nigeria are either monthly or quarterly resetting. So no, they're really kind of as current -- from a quarterly perspective, anyway, they're as current as they can be.
Gustavo Finatti Campos: Also, just trying to understand here on the Rwanda sale, one, how much cash are you expecting to receive from these asset sales? Trying to understand the debt and leases that may be attached to it? And how much EBITDA was generated on that asset over the last 12 months?
Steve Howden: So it will be all cash received. So it's $274.5 million enterprise value, but there's no debt within that business. It's debt-free. So it will effectively be straight through the proceeds. And the EBITDA was -- high 30s over the last 12 months.
Gustavo Finatti Campos: And that those proceeds are like after taxes, right? So we should expect kind of like immaterial tax impact from that sale?
Steve Howden: Correct.
Gustavo Finatti Campos: All right. Yes. And then I was also looking to understand better. You had $0.5 billion to $1 billion asset sales target. I was wondering if now that we've moved forward with this program really well, can we get a sense here on whether you will be targeting perhaps the lower end of that range, closer to $0.5 billion? Or do you think there's still opportunity to go to all the $1 billion cash proceeds target? That would be very helpful.
Steve Howden: Yes, Gustavo. That was a little bit what Sam was saying a few moments ago. So we kind of got to plus or minus the bottom end of that range with the disposal of Kuwait with the disposal of Rwanda. And what we're doing now is really continuing to evaluate. The share price has performed well this year in relative terms, but for us, still undervalued and it's got a long way to go. So we're continuing to look at what else we can do as a business to continue providing shareholder value. So yes, we might be a little bit more opportunistic going forward in terms of disposals. But certainly don't want anyone to think we're not still looking at things because we are. We're still focused on getting the share price up from where we are today. So that can come in lots of different forms.
Sam Darwish: But the balance sheet, Gustavo, is in a very good shape at the moment with $900 million of liquidity, leverage has gone down to 3.4x EBITDA even without including the proceeds of this accretive transaction, which we have done. So from a balance sheet point of view, we're happy, but we continue again to keep drilling organically on rebalancing growth vis-a-vis cash flow generation. Having said that, Steve's point and what I tried to say earlier is spot on. We still believe the share price is undervalued. We're still committed to unlock value to shareholders. And we will keep exploring, looking, considering whether disposals, whether buybacks, whether dividends at the right time. This is a big focus of ours at the moment.
Gustavo Finatti Campos: Yes, that's very clear. And last question, if I may. If you could elaborate here what was the reduction of the MLAs in Nigeria attributed to? And would you expect that to continue for the rest of the year? That would be my last question. And thanks for all the details.
Steve Howden: So the only thing that's impacting MLAs in -- sorry it's not really MLAs, but tenancies in Nigeria is to do with the 1,050 sites that we agreed with MTN would leave us during the course of 2025. So that's all as planned and publicly -- disclosed back summer of last year.
Operator: [Operator Instructions]. Our next question comes from Stella Cridge of Barclays.
Stella Cridge: If I could ask on 2 areas. Just on Rwanda side, could you just say specifically what government and regulatory approvals that you expect there or you need to get there, sorry, or any other items that need to be kind of tied up before that can close? And when you actually get the cash, what specifically do you have in mind? Would you potentially take out some bonds early? So that would be the first question. And the second one is, I didn't see in the materials anything about upstreaming from Nigeria year-to-date. Was that because you were keen to accumulate the cash there to pay down the term loan? Or was the market like a little bit more difficult in terms of upstreaming? Any additional color there would be great.
Steve Howden: So in terms of Rwanda on approvals, we need customary approvals. So things like the regulator, which is RRA and governmental approval for communications infrastructure. So there's nothing out of the ordinary there, just the regular kind of regulatory and government approvals. Otherwise, that's it on CPs. Cash proceeds when it comes, I obviously can't talk specifically to bond plans. But things that we're focused on in our maturity waterfall are things like the earlier amounts of bonds. Some of them are callable now. Some of them will be callable in the coming months towards the end of this year. We're also looking at our highest interest-bearing facilities around the Group. So I mentioned a few moments ago around Nigeria. We have other higher interest-bearing facilities in places like Brazil as well. So we're kind of mixing around in terms of what we're going to do, but the strategy remains the same, reduce debt, reduce leverage, try and reduce dollar-based debt and manage the interest expense and tenor of whatever is remaining in the Group. So that continues to be the plan. And then on upstreaming, no, I shouldn't read anything into any change of the language. The USD availability remains very good in Nigeria. We did use obviously, a bunch of our local cash post quarter end to pay down that term loan, but we did actually upstream $71 million in the quarter from Nigeria. So yes, all is good and fine there.
Sam Darwish: To be honest, Stella, we feel that Nigeria is somehow getting back to business as usual. And this was an extremely important measure when things were tight and things were kind of like unorthodox in that country. Since the removal of the subsidy a while ago and the unification of Forex, we feel that the current policies of CBN, Ministry of Finance and the government are yielding results. And that's why we're showing -- we're seeing stability in the country. And hopefully, we continue to do that. So we're feeling this is more moving into business as usual than anything else. That's the only reason.
Operator: That brings us to the end of the IHS Holding Limited First Quarter 2025 Earnings Results Call. Should you have any questions, please contact the Investor Relations team via the e-mail address, investorrelations@ihstowers.com. The management team and I thank you for your participation today and wish you a good day. Thank you.